Operator: Good afternoon and welcome to WEC Energy Group's Conference Call for First Quarter 2018 Results. This call is being recorded for rebroadcast and all participants are in a listen-only mode at this time. Before the conference call begins, I remind you that all statements in the presentation, other than historical facts, are forward-looking statements that involve risks and uncertainties that are subject to change at any time. Such statements are based on management's expectation at the time that they are made. In addition to the assumptions and other factors referred to in connection with the statements, factors described in WEC Energy Group's latest Form 10-K and subsequent reports filed with Securities and Exchange Commission could cause actual results to differ materially from those contemplated. During the discussions, referenced earnings per share will be based on diluted earnings per share unless otherwise noted. After the presentation, the conference will be open to analysts for questions-and-answers. In conjunction with this call, a package of detailed financial information is posted at wecenergygroup.com. A replay will be available approximately two hours after the conclusion of this call. It is now my pleasure to introduce Gale Klappa, Chairman and Chief Executive Officer of WEC Energy Group. Mr. Klappa, the floor is yours.
Gale E. Klappa - WEC Energy Group, Inc.: Thank you very much. Good afternoon, everyone, and thank you for joining us today as we review our results for the opening quarter of 2018. But first, I know that all of you are interested in an update on Allen Leverett's recovery from the stroke he suffered last October. I can report that Allen is in very good physical condition, and he continues to be engaged in intensive speech therapy at a leading rehabilitation center. The center specializes in helping patients who are having difficulty speaking fluently. Over the past few months, Allen has continued to make progress. He is working hard and he remains upbeat and determined. Now, many of you have also asked about our succession planning in the event that Allen can't or chooses not to return as CEO. As you would expect, we conduct rigorous succession planning discussions with our board on a regular basis. Guys, we've done so for many, many years. So, I can assure you that we have a solid plan B in place if Allen does not assume his previous role. The plan would involve a number of internal promotions. We would have great continuity going forward and the board and I are very comfortable with what I call plan B. We'll continue to monitor the situation during the second and third quarters of this year and we'll certainly keep you up to date on any new developments. Now, I'd like to introduce the members of our management team who are here with me today. We have Scott Lauber, our Chief Financial Officer; Jim Schubilske, Treasurer; Bill Guc, Controller; Peggy Kelsey, Executive Vice President and General Counsel; and Beth Straka, Senior Vice President of Corporate Communications and Investor Relations. As you saw from our news release this morning, we reported first quarter earnings of $1.23 a share, well ahead of guidance. Stronger than expected demand for natural gas and electricity, the strengthening economy and efficiency gains across our system were the major factors in our solid first quarter performance. Scott will provide you with more details in just a few minutes but, first, I'd like to update you on a number of recent developments. Just yesterday, we signed an agreement to acquire an 80% ownership interest in the Upstream Wind Energy Center. This wind farm is currently being built by Invenergy in Antelope County, Nebraska. Upstream will consist of 81 GE wind turbines with a capacity of 200 megawatts. We plan to invest approximately $280 million for our 80% ownership stake. Key permits and local approvals have been obtained for construction and operation, and we expect to close the transaction in early 2019 likely in February as the wind farm begins commercial service. Under the new tax rules, the investment in Upstream will qualify for 100% bonus depreciation and for production tax credits. The project has a long-term 10-year offtake agreement with a company that has a strong investment grade credit rating. We project this $280 million investment will earn a return similar to that of our regulated utilities. The transaction, of course, is subject to approval by the Federal Energy Regulatory Commission. I'm also pleased to inform you that on March 1, the Wisconsin Public Service Commission approved the purchase of the Forward Wind Energy Center. Our Wisconsin Public Service utility along with several partners closed the transaction on April 2. We now own 44.6% of this facility with an investment of approximately $80 million. Our customers will soon see real savings because the purchase of the wind farm eliminates a higher cost power purchase agreement. And now, an update on tax reform proceedings that recently took place in Wisconsin. As you may recall, the Commission order that approved our rate settlement last fall contemplated the potential impact of tax reform. The order recommended that benefits from a lower tax rate be used to reduce our regulatory asset balances, particularly those for uncollected transmission costs. In filings over the past few months, we proposed a formal plan with several options for the Commission to consider. Last Thursday, the Wisconsin Commission determined that 80% of the tax benefit would be used to offset regulatory asset balances, with the remaining 20% to be refunded in the form of bill credits. This decision applies to the electric customers of both We Energies and Wisconsin Public Service. For our natural gas customers in Wisconsin, the full amount of the tax savings will flow to customers through lower bills. We believe this was a thoughtful and balanced decision by the Commission. Also, on the regulatory front in Wisconsin, we expect to file for construction authority for our first solar farm by the end of the second quarter. Over the past few years, as you may know, utility-scale solar has increased in efficiency and prices have dropped by nearly 70%, making it a cost effective option for our customers, an option that also fits very well with our summer peak demand curve and with our plan to significantly reduce carbon dioxide emissions. Our effort to reshape our generating fleet for a clean and reliable future is especially important at this time of great economic potential for the State of Wisconsin. The unemployment rate in Wisconsin reached a record low of 2.9% in March. That's the eighth lowest unemployment rate in America. Meanwhile, more people are working in Wisconsin. More people have jobs in Wisconsin than in any other time in state history. And we are seeing additional potential as Foxconn Technology Group has begun its $10 billion investment in a massive high-tech manufacturing campus south of Milwaukee. Foxconn's construction team has set a goal to have 60% of the project completed by Wisconsin-based companies and 70% of the job hours worked by Wisconsin residents. Of course, we have plans that are now being developed and underway to provide both natural gas and electric infrastructure to the area that is now being called Wisconn Valley. The large scale development will provide additional investment opportunities for us, including approximately $140 million of gas projects and $120 million of transmission upgrades now being planned by American Transmission Company. And one final Wisconsin note, you may have read that several interveners in last year's rate settlement have asked the Commission to require a deferral of the non-fuel savings from the closure of the Pleasant Prairie Power Plant. They seem concerned that during the year and next we will reap some type of windfall from eliminating the operating costs of the plant. So, to clear up any confusion, there is no possibility of a windfall because we agreed to an earnings cap at Wisconsin Electric for the period of the rate freeze, which covers all of 2018 and all of 2019. Turning now to Illinois, we continue to make real progress on the Peoples Gas System Modernization Plan. As a reminder, this program is critical to providing our Chicago customers with a natural gas delivery network that is modern, safe and reliable. For many years to come, we'll be replacing outdated natural gas piping, some of which was installed back in the day of Abraham Lincoln with state-of-the-art materials. We're currently on track to invest approximately $290 million in the effort during calendar year 2018. In addition, we've been working with the Illinois Commission on a bill credit to flow savings from the new federal tax law back to customers and on April 19, the Commission voted unanimously to approve the proposed bill rider. The rider takes into account the impact of Federal tax savings which are partially offset by an increase in Illinois state taxes. A typical Chicago gas customer will see a savings of approximately $2 per month. And now an update on our operations in Minnesota, on October 13 of last year, Minnesota Energy Resources filed a rate case with the Minnesota Public Utilities Commission. Recall that in our initial filing, we requested an increase in base rates of approximately $12.6 million or 5%. Interim rates have been in place since the beginning of this year and on April 1, those interim rates were adjusted to incorporate the positive impact of tax reform. A final decision on new permanent rates in Minnesota is expected by the end of this year. I might add that we're making excellent progress on our gas expansion project in the Rochester area, where the Mayo Clinic is growing rapidly. We've completed the first phase of a multi-year plan to strengthen and expand our infrastructure for natural gas delivery. And next, we'll turn to Michigan. As a reminder, we obtained a final regulatory approval on October 25 of last year for the construction of new natural gas fired generation in the Upper Peninsula. The project stands now at 42% complete. Our plan is to bring the new units into commercial service by mid-2019 and at that time or soon thereafter, we expect to retire our coal-fired power plant at Presque Isle. This project calls for a $266 million investment in 10 reciprocating internal combustion engines or as we call them RICE units. They'll be capable of generating a total of 180 megawatts of electricity. These units which will be owned by one of our Michigan utilities, Upper Michigan Energy Resources, will provide a cost effective long-term power supply for customers in the Upper Peninsula. And regarding tax reform for our Michigan utilities, we're working through a multi-step process to flow the benefits back to customers. And finally, a reminder about our dividend. At our January meeting, the Board of Directors raised the quarterly cash dividend to $0.5525 per share, that's an increase of 6.25% over the previous dividend rate. Our annualized dividend now stands at $2.21 per share. And folks, this marks the 15th consecutive year that our stockholders will enjoy higher dividends. We continue to target a payout ratio of 65% to 70% of earnings; we're right in the middle of that range now. So, I expect our dividend growth will continue to be aligned with the growth in our earnings per share. And now, with details on our first quarter results and our outlook for the remainder of 2018, here is our Chief Financial Officer, Scott Lauber. Scott?
Scott J. Lauber - WEC Energy Group, Inc.: Thank you, Gale. Our 2018 first quarter earnings grew to $1.23 per share compared to $1.12 per share in the first quarter of 2017. Our favorable results were largely driven by colder weather quarter-over-quarter, effective cost control and return on additional capital investment. The earnings packet placed on our website this morning includes a comparison of first quarter 2018 and 2017 results. I'll first focus on operating income and then discuss other income, interest expense and income taxes. Referring to page 8 of the earnings packet, our consolidated operating income for the first quarter of 2018 was $545.1 million compared to operating income of $614.7 million for the first quarter of 2017, a decrease of $69.6 million. Excluding two tax items totaling $120 million, operating income actually increased $50.4 million. The first tax item relates to the effective tax reform and the second item is the benefit of tax repairs as part of our Wisconsin rate settlement. You'll recall that our regulated utilities are currently deferring the benefits associated with the Tax Cut (sic) [Cuts] and Jobs Act of 2017. These benefits will ultimately be returned to customers. The accounting for this charge results in lower income tax expense and an offset to operating revenues. As part of our Wisconsin rate resettlement, we also agreed to use the benefits of tax repairs to offset the growth of certain regulatory asset balances. These escrow balances represent costs Wisconsin Electric incurred to provide electric service, but were set aside for future recovery. So, here's how it affects our financial reporting. The income statement accounting for tax repairs does three things. It decreases income tax expense, increases O&M, and reduces operating revenues related to these regulatory balances. All of this has no effect on net income. I'd like to refer you to page 7 of the earnings package where you can see each of the line items. Excluding the impact of these items, operating income increased $50.4 million. The following segments discussed will now focus only on the remaining $50.4 million increase in operating income. Starting with our Wisconsin segment, the remaining increase in operating income was $30.2 million. The impact from colder winter weather increased margins $20.4 million and lower operations and maintenance expense contributed an additional $11.9 million. In the first quarter of 2018, the remaining increase in operating income in our Illinois segment was $6.8 million compared to the first quarter of 2017. This was primarily driven by continued investment in the Gas System Modernization Program and lower operations and maintenance expense. Due to decoupling, the colder weather did not have a significant impact on Illinois margins. The remaining increase in operating income at our other states segment was $8.2 million. The change was primarily due to colder winter weather quarter-over-quarter and lower operations and maintenance expense. Turning to our non-utility energy infrastructure segment, excluding the impact of tax reform, operating income at this segment increased $8.2 million. Remember that this segment contains the operation of Bluewater Natural Gas Holding which was acquired on June 30 of last year as well as the results of We Power. Bluewater Natural Gas Holding contributed $7.8 million in the increase of operating income in the first quarter of 2018. The operating loss at our corporate and other segment increased $3 million quarter-over-quarter. We transferred completed software assets from our centralized service company to our regulated utilities. Accordingly, the return on these assets is now recognized by our regulated utilities. Excluding the two tax items we discussed, operating income increased $50.4 million. Earnings from our investment in American Transmission Company totaled $32.8 million, a decrease of $9.1 million compared to the first quarter of last year. Excluding the $10.7 million impact of tax reform, our equity earnings grew $1.6 million due to continued capital investment. Our other income, net, decreased by $10.8 million quarter-over-quarter driven by decreasing gains on investments. Our net interest expense increased $2 million quarter-over-quarter, primarily driven by higher debt levels resulting from continued capital investments and higher short-term interest rates. Our consolidated income taxes decreased $125 million, as previously discussed lower tax expense was driven by the impact of tax reform and the flow through of tax repairs. We expect our effective income tax rate will be between 13% and 14% this year. Excluding the benefit of related tax repairs, we expect the effective tax rate to be between 21% and 22%. Combining all these items brings us to earnings of $390.1 million or $1.23 per share for the first quarter of 2018, compared to earnings of $356.6 million or $1.12 per share for the first quarter of 2017. Looking at the cash flow statement on page 6 of the earnings package, net cash provided by operating activities increased $179 million during the first quarter of 2018. Recall that we made a $100 million contribution to our pension plan in the first quarter of last year. Also, earnings improved quarter-over-quarter. Our capital expenditures totaled $440 million in the first quarter, a $110 million increase compared to the first quarter of 2017 as we continue to execute on our capital plan. Our adjusted debt to capital ratio was 51.4% at the end of the first quarter, a decrease from the 52.5% at the end of 2017. Our calculation continues to treat half of the WEC Energy Group 2007 subordinated notes as common equity. We are using cash to satisfy any shares required for our 401(k) plans, options and other programs. Going forward, we do not expect to issue any additional shares. We continue to expect our FFO to debt metric to be in the range of 16% to 18%. We paid $174 million in common dividends during the first quarter of 2018, an increase of $10 million over the first quarter of last year. Higher dividends were driven by the 6.25% increase in the dividend level compared to the first quarter of 2017. Now, a brief update on sales. We see continued customer growth across our system. At the end of the first quarter, our utilities were serving approximately 9,000 more electric customers and 27,000 more natural gas customers than they did a year ago. Sales volumes are shown on a comparative basis on page 10 of the earnings package. Overall, retail deliveries of electricity for our Wisconsin and Michigan utilities, excluding the iron ore mine, were up 1.6% and were level with the first quarter of 2017 on a weather normal basis. Natural gas deliveries in Wisconsin, excluding gas used for power generation, increased 11.2%. On a weather normal basis and excluding gas used for generation, natural gas deliveries in Wisconsin grew by 4.9% and were above our expectations. Finally an update on earnings guidance, we are affirming our 2018 earnings guidance of $3.26 a share to $3.30 a share, with an expectation of reaching the top end of the range assuming normal weather for the remainder of the year. We expect our second quarter 2018 earnings per share to be in the range of $0.64 to $0.66 that takes into account April weather and assumes normal weather for the rest of the quarter. With that, I'll turn things back to Gale.
Gale E. Klappa - WEC Energy Group, Inc.: Scott, thank you very much. Overall, we're on track and focused on delivering value for our customers and our stockholders. Operator, we're ready now for the question-and-answer portion of the conference call.
Operator: Thank you. Now we will take your questions. Your first question comes from the line of Greg Gordon from Evercore.
Gale E. Klappa - WEC Energy Group, Inc.: Hi, Greg. How are you?
Greg Gordon - Evercore ISI: I am good. Hi, Gale. Hi, team. So I just want to know...
Gale E. Klappa - WEC Energy Group, Inc.: Hey, Greg.
Greg Gordon - Evercore ISI: Yes, sir.
Gale E. Klappa - WEC Energy Group, Inc.: You must have directed the Jets draft. You had a good draft.
Greg Gordon - Evercore ISI: Well, I told them they had to pick a quarterback that would be able to throw over the heads of the two corners the Green Bay Packers drafted, so...
Gale E. Klappa - WEC Energy Group, Inc.: These guys got good vertical leap, Greg.
Greg Gordon - Evercore ISI: Excellent. Sorry about your bucks by the way.
Gale E. Klappa - WEC Energy Group, Inc.: Yeah.
Greg Gordon - Evercore ISI: But onto the questions, can you talk a little bit more about the strategic rationale behind the wind purchase? Because the way that you described it, it's not clear to me that you're selling that power back to your utilities or that that's sort of an asset that would ultimately be requested to go into rate base. And if so, to whom is the PPA, whether that's disposable and how should we think about that? Because it seems like a step out from your normal sort of band of how you think about your strategy.
Gale E. Klappa - WEC Energy Group, Inc.: Right. No, I appreciate the question. It's a very good question. And, first of all, we have, as you probably saw when you look through the basic description of our capital plan over the next five years, the $11.8 billion capital plan that we're projecting for the next five years, we have a segment in there that we basically call energy infrastructure. And we put that in there frankly because we are beginning to see some opportunities, if you will, for the potential purchase of assets that some other companies are divesting, but they are good assets, they are assets that don't change our risk profile and that's a very important point with us as you know. But they are assets that can add to earnings, that can help us deploy capital in a very good way, that don't add to rate pressure at the retail level in Wisconsin or anywhere else. And in this case, although I think we're under a confidentiality agreement on the exact name of the off-taker, there is a 10-year offtake with this particular upstream property with a A-rated publicly-traded company. So they take all of the offtake for the entire 10-year contract and, of course, it does qualify as I mentioned for 100% bonus depreciation and for the production tax credits. So, we thought this was a really interesting opportunity for us. It's kind of the first major project that we're putting into that infrastructure category. I want to emphasize that well, it may be just a hair different than what we've done in the past. We are not going to change our risk profile by stretching for assets that don't fit the kind of return and risk adjusted returns that we've always tried to deliver. So, this may be the first of a number that you see in that category, but again the concept is taking advantage of some opportunities but not changing our risk profile. And down the road, we're going to need carbon-free energy as well. So I wouldn't rule out 10 or 15 years from now thinking about putting that asset in a rate base, but that's not the current thinking. The current thinking is that this is a solid asset without ever entering into a rate base in Wisconsin. Does that make sense to you, Greg?
Greg Gordon - Evercore ISI: Perfectly. And on that note, since I don't really have any question specific to the quarter, you're as usual off to a great start for the year in terms of your earnings goals. This is actually a debate that investors do have from time-to-time when looking at the current retail rate that your customers pay versus others in the region and thinking about as you deploy capital how are you incrementally going to be able to make that cost effective? And people sometimes talk about the escalator in your nuclear contract as being a headwind for that. Can you talk about the future levers you have to pull to continue to be able to offer a cost effective product as you do deploy capital inside the utility because in conversations I've had with you you seemed pretty confident that there is a long runway to be able to do that where others are more skeptical?
Gale E. Klappa - WEC Energy Group, Inc.: Well, again a very good question. And yes, I am confident in part. Well, first of all, let me back up. We will be – in 2019, next year, we will be in year number four of a retail rate freeze at Wisconsin. During that four-year period, virtually every utility around us has had to raise rates. When you look at our rates now, in fact, the Wisconsin Commission just put out a draft, the energy assessment. They do this every several years and they talk now about Wisconsin. The Wisconsin Commission in its draft report just last week talked about how the average bill in Wisconsin for the median income person in Wisconsin is lower than the region. So, we're starting to see others that provide electricity in the region have to raise rates as they move into their cycle of significant building. So, I feel very good about where we're headed from a competitive standpoint in offering a competitively priced product, number one. Number two, how we can continue to do that. I mean, I believe we have a long runway of O&M cost savings ahead of us. We've announced, for example, two more power plant closures, the Pulliam plant at Wisconsin Public Service in Green Bay. And, of course, we've been planning to close the Presque Isle Power Plant for a number of years. You put the O&M for those plants together and you're talking about close to $100 million annual O&M. So, we have a lot of cost saving initiatives. We have a lot of efficiency initiatives that are really coming out of our acquisition of Integrys, plus the opportunity now to actually green our fleet and save O&M costs. So, I feel very good about deploying the capital plan that we've laid out, the $11.8 billion plan over the next five years without any significant rate pressure in Wisconsin.
Greg Gordon - Evercore ISI: Thank you, Gale.
Gale E. Klappa - WEC Energy Group, Inc.: Thank you, Greg.
Operator: Your next question comes from the line of Shar Pourreza with Guggenheim Partners.
Gale E. Klappa - WEC Energy Group, Inc.: Greetings, Shar. How are you today?
Shahriar Pourreza - Guggenheim Securities LLC: Oh, great. How are you?
Gale E. Klappa - WEC Energy Group, Inc.: Yeah. We're doing well.
Shahriar Pourreza - Guggenheim Securities LLC: Excellent. So just a real quick question on the tax filing. How does – just remind us how the verbal order from last week sort of compares to your plan assumptions, mainly focusing on the uncollected transmission cost balance? I mean, I guess at a cursory level looks like it's more constructive than what you assumed from your plan. So, there's obviously some positive cash flow impacts. And then also, is there any impact of the timing of your next rate case?
Gale E. Klappa - WEC Energy Group, Inc.: Shar, on your second question, no, there's no timing on the impact of the next rate case resulting from the tax reform decision by the Commission, none whatsoever. And in terms of how we view that compared to plan, if you recall, during the filings over the last few months, we proposed several alternatives for the Commission and I guess I would view the Commission's decision, as I mentioned in the prepared remarks, as both balanced and thoughtful. I think it's right down the center of the fairway. Scott?
Scott J. Lauber - WEC Energy Group, Inc.: No, that's correct. It's 80% applied to those regulatory assets, largely the transmission asset at Wisconsin Electric, and what that'll do, is as you know, the balance of that account was going to be about $220 million at the end of 2019. Applying the benefits that the Commission did on tax reform here will lower it and then you put the benefits that we receive for tax reform for the American Transmission Company that balance at the end of two years will be about $40 million, so makes significant progress on reducing that balance.
Gale E. Klappa - WEC Energy Group, Inc.: We thought it was a very...
Shahriar Pourreza - Guggenheim Securities LLC: Right. And...
Gale E. Klappa - WEC Energy Group, Inc.: I'm sorry, go ahead, Shar.
Shahriar Pourreza - Guggenheim Securities LLC: No, no, sorry. Go, you Gale, start with it.
Gale E. Klappa - WEC Energy Group, Inc.: No. We thought it was a very – again a very thoughtful recent decision and really will make a big, big dent as Scott said in the unrecovered balance for transmission costs. And by the way, I wanted you to know that Greg promised if you were checking on him on Thursday, he'd be working.
Shahriar Pourreza - Guggenheim Securities LLC: We'll see about that. I appreciate that. And then just let me ask you on Foxconn, maybe as you sort of think about the growth trajectory that you guys have out there and what's within plan, can you just, Gale, talk a little bit about some of the incremental opportunities, mainly on potential rooftop solar with Foxconn, incremental gas distribution needs, so as Foxconn facility continues to progress, how we should think about items that may not be "embedded" in your outlook?
Gale E. Klappa - WEC Energy Group, Inc.: Yeah. Good question, Shar. First of all, a little bit of background, earthmoving at the site of the Foxconn campus site will begin in the next few weeks and so much of soil has to be moved during the excavation process that excavation in and of itself will take until August of 19 to complete. If you take a standard football field, the 100-yard football field, enough earth has to be moved to basically fill that football field 1,475 times, means it's just an enormous, enormous project. So, basically all of the field work will begin in just a few weeks. I would think that we will start to see peak construction in 2020. And yes, there will be and there are incremental investment opportunities for us, both related to electricity and natural gas but the bigger surprise for us really is the level of natural gas demand. I think I may have mentioned in my prepared remarks that there's probably an additional $120 million of investments that we're going to need in natural gas delivery, in the infrastructure there, to get gas to that complex. And to the development that is now – we're now starting to see as you would imagine, we're now starting to see other developments announced. Someone just announced a new hotel just 6 miles from the Foxconn campus. So we're going to see the spin-off or the ripple effect development soon. And American Transmission Company has already filed for about $120 million transmission upgrade and there will be more to come. Now, in terms of our sales numbers though, Scott will update in the fall when we have our new capital plan, we'll update our sales growth projections that we'll probably start to see some reasonable incremental demand from Foxconn I would say late 2020, 2021.
Shahriar Pourreza - Guggenheim Securities LLC: All right. That's helpful, Gale. And then just one last thing on sort of incremental opportunities. I think you've highlighted before in the past and you touched a little bit about the win. But given what you've seen is a lot of your peers that have been looking to mitigate some of their equity needs as a result of tax reform and then other various scenarios, is there also sort of an opportunity for you to look at contracted midstream assets? Are you finding given sort of the impact of tax reform of some of your peers that you may have some more willing sellers and is that something you'd be interested in looking at?
Gale E. Klappa - WEC Energy Group, Inc.: Shar, the short answer is yes. But, we will not do an investment that changes our risk profile. So – but there are a number of opportunities really even in the Midwest that we're seeing today that we would not have seen last year simply because of the impact of tax reform and other companies wanting, as you say, to mitigate the need for new equity. I mean, we're in a very fortunate position where we don't need new equity and we have some ability to take advantage of the opportunity to buy really strong assets that don't change our risk profile. So, I guess as they would say in the UK, watch this space.
Shahriar Pourreza - Guggenheim Securities LLC: Got it. That's helpful and congrats to a great start, Gale, and have a good week. Thanks, guys.
Scott J. Lauber - WEC Energy Group, Inc.: Thank you.
Gale E. Klappa - WEC Energy Group, Inc.: Thank you, Shar.
Operator: Your next question comes from the line of Michael Weinstein with Credit Suisse.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Hi, Gale. How are you doing?
Gale E. Klappa - WEC Energy Group, Inc.: Hi, Michael. I'm good, Michael. Did you apply for your job at FOX Sports?
Michael Weinstein - Credit Suisse Securities (USA) LLC: They recruited me, but I'm going to have to turn it down for now.
Gale E. Klappa - WEC Energy Group, Inc.: There you go.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Hey, I've heard from Michigan that there is a development of a winter peak almost a double peak in that state, that effectively what it does is it lowers the capacity factor that could be applied to solar, in other words, it wouldn't get as much of a, you know, maybe a lower capacity factor as a result of the double peak. I'm just wondering, I guess in that state, you're talking about a 50% CapEx or I think in Wisconsin, you guys are talking about 70%; I mean if you've heard anything like along these lines?
Gale E. Klappa - WEC Energy Group, Inc.: No, not at this point. And right now for – again it's MISO that basically assigns the capacity factor. And right now to the best of our knowledge that remains at 70% in Wisconsin.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Okay. And on Foxconn's move, have you heard anything at this early stage about maybe additional companies looking to move to the stage to be part of the ecosystem that's being developed there at this point? I think you call what Wisc Valley or Wisconsin Valley?
Gale E. Klappa - WEC Energy Group, Inc.: Yeah, Wisconn Valley. It's the Midwest version of Silicon Valley. There has been nothing specific announced yet, but I can tell you just from being involved in the project that there are multiple companies that would become a need to become part of the Foxconn supply chain that are in the early stages of figuring out how they're going to locate and become actually part of that supply chain. But I am encouraged by one other development, and that is Foxconn is really looking hard at a number of Wisconsin companies to become part of their supply chain. So, companies that are existing here that would get more revenue, more production, more income by becoming part of the supply chain. So, I think it's going to be a combination of a number of companies moving to the state, but also a number of companies that are going to get additional business from the fact that they will be suppliers to Foxconn, but I think you'll start to see some announcements here in the next few months.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Okay. Great. Thank you. And I'm glad to hear that Allen is doing well. All right.
Gale E. Klappa - WEC Energy Group, Inc.: Thank you, Mike.
Operator: Your next question comes from the line of Julien Dumoulin-Smith from Bank of America Merrill Lynch.
Gale E. Klappa - WEC Energy Group, Inc.: Afternoon, Julien.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Hey, afternoon. Thanks for taking the time.
Gale E. Klappa - WEC Energy Group, Inc.: You're welcome.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: So, wanted to follow up a little bit on the balance sheet here, FFO to debt. I think you guys talked about a 16% to 18% ratio. Just going back to Shar's question for a quick minute here. Can you elaborate a little bit on where that puts you within that range given the outcome of the tax reform and the sharing that you all described in the transmission costs? And then I suppose secondarily as for the small piece of that, but the $280 million associated with the energy, I suppose it doesn't really move the needle all that much against the backdrop of that. But I suppose one could be perceived as offsetting the other?
Gale E. Klappa - WEC Energy Group, Inc.: No, and I don't think so. First of all, I'll let Scott handle the 16% to 18%.
Scott J. Lauber - WEC Energy Group, Inc.: So the 16% to 18%, it's going to move around a little in there, I would say 2018 because we are part year cash taxpayer, not a full year, we'll be at the top end of that 2018, maybe even squeak into close to 19%. Later on in the plan, it's in that 16%, it's right in the middle of the range I would say.
Gale E. Klappa - WEC Energy Group, Inc.: But it's certainly not down in the 15% area.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Right.
Gale E. Klappa - WEC Energy Group, Inc.: I mean, we're above that, and in some point, as Scott said, we might even see 19%
Scott J. Lauber - WEC Energy Group, Inc.: Early out in the plan here while we're not paying taxes, so that's why we're looking at other opportunities on the tax front, so we've a tax appetite to help.
Gale E. Klappa - WEC Energy Group, Inc.: Exactly. And in terms of the Upstream Wind Energy Center that we just announced, that could be a couple of cents a share. So, it's not $0.20 a share, but I think it's indicative of the fact that we are seeing some opportunities again that don't change our risk profile where we can deploy capital.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Right. And in fact, actually just to specify that since you bring it up, when you say the return profile is similar, the ROE, sort of the upfront earned ROE there, as you say a couple of cents is relatively comparable, right?
Gale E. Klappa - WEC Energy Group, Inc.: That is correct.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Excellent. And in fact, if I can keep going on that, I mean, you alluded to it already here in tax appetite, I mean in stepping into this contract in renewable world, clearly there is a desire for those paying cash taxes out there to absorb some of those tax attributes. Is that something we could very well see you kind of as a step two in the strategy?
Gale E. Klappa - WEC Energy Group, Inc.: It's certainly a possibility, Julien, absolutely.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Got it. Excellent. And then anything with respect to green tariffs for your own customers as you think about kind of satiating the demand from this evolving customer base?
Gale E. Klappa - WEC Energy Group, Inc.: Well, a couple points on that. We already have a pretty successful green tariff, it's called Energy for Tomorrow. And we have no issue with expanding that tariff whatsoever, as a number of our customers want to have some or all of their energy be green energy. But I do see there are some additional potential opportunities for us to make investments with customers where we would own the renewable and they would be an off-taker. So a lot of interest there, a lot of changes in the marketplace as both solar and wind have become more cost effective.
Julien Dumoulin-Smith - Bank of America Merrill Lynch: Got it. All right. Thank you, all.
Gale E. Klappa - WEC Energy Group, Inc.: Okay, Julien. Thank you.
Operator: Your next question comes from the line of Praful Mehta with Citigroup.
Gale E. Klappa - WEC Energy Group, Inc.: Good afternoon. How are you?
Praful Mehta - Citigroup Global Markets, Inc..: I'm very good. How are you?
Gale E. Klappa - WEC Energy Group, Inc.: We're doing well.
Praful Mehta - Citigroup Global Markets, Inc..: Excellent. Well, thanks for all the detailed answers so far. I just had a clarification on the FFO to debt question and around the Wisconsin tax reform settlement. Just to understand, how much is the amortization and how much is the customer refund that you are resuming right now over the next two years as a part of that tax reform settlement?
Gale E. Klappa - WEC Energy Group, Inc.: Well, Scott is looking for a particular piece of information. I'll try to give you the answer to the first question. On our transmission escrow balance, we're just north of $200 million going into 2018. And I think as Scott said earlier, with basically with 80% of the benefits of tax reform flowing to reduce that transmission escrow coupled with the fact that there's going to be lower a benefit from tax reform from American Transmission Company as well that will help lower that balance. We think we'll take it all the way down to around $40 million by the end of 2019.
Scott J. Lauber - WEC Energy Group, Inc.: Yeah, that is correct. So – but if you look at Wisconsin Electric, the electric customers, it's about $70 million that's going to go against the regulatory asset with about $10 million to $12 million going back as bill credits. And in Wisconsin Public Service, we'll have about $28 million going against the regulatory assets and about $5 million going back as bill credits. And then the rest of the system, as Gale said, all the gas is going to go back as bill credits. So in total, when you look at electric and gas together, it's about $50 million going as bill credits to our customers and about nearly $100 million going against the balance sheet.
Praful Mehta - Citigroup Global Markets, Inc..: I got you. So that's helpful. So that $50 million that's going back as a bill credit is effectively a reduction in FFO that's incorporated in your FFO to debt metrics as we think about your 16% to 18%?
Gale E. Klappa - WEC Energy Group, Inc.: Correct and exactly. So this is an annual number, that's the 2018 effect, and then similar in 2019.
Scott J. Lauber - WEC Energy Group, Inc.: And that's how we get from over $200 million down to $40 million, given that escrow balance for transmission.
Praful Mehta - Citigroup Global Markets, Inc..: Got you, and that's super helpful detail. Thank you. And then just more a big picture just stepping back question. In terms of the renewable asset purchases, I know you've talked about the ROE, but in terms of an IRR, I just wanted to think about, given the cash tax profile, I guess you want the cash taxpayer in 2018. So the returns get pushed out a little bit in terms of your ability to utilize the tax attributes of these assets. What kind of IRR thresholds are you looking at as you look at renewable purchases?
Scott J. Lauber - WEC Energy Group, Inc.: Yeah.
Gale E. Klappa - WEC Energy Group, Inc.: I think you may have one little fact just slightly off. Scott?
Scott J. Lauber - WEC Energy Group, Inc.: Yeah, so this transaction will close in 2019.
Gale E. Klappa - WEC Energy Group, Inc.: February, we think of 2019.
Scott J. Lauber - WEC Energy Group, Inc.: Yeah. And we'll be a full cash taxpayer then. So we'll get the full benefits of the production tax credits, and we'll also since this is not considered utility property, it's outside the utility, we'll get 100% bonus depreciation also on those assets. And we look at it as if we're buying in the utility and what that regulated return would be around that 10% or 11%.
Gale E. Klappa - WEC Energy Group, Inc.: Yeah. We'll probably finance just like we do our normal assets, 50% equity, 50% debt, if that helps.
Scott J. Lauber - WEC Energy Group, Inc.: And that's all internal funding of the equity, no external shares we're issuing, none.
Gale E. Klappa - WEC Energy Group, Inc.: Correct. Correct.
Praful Mehta - Citigroup Global Markets, Inc..: Got you. Got you. That's helpful. So that lines up well, I guess with your cash tax profile in 2019 in terms of the close of this deal.
Gale E. Klappa - WEC Energy Group, Inc.: Exactly.
Praful Mehta - Citigroup Global Markets, Inc..: Okay. And then...
Scott J. Lauber - WEC Energy Group, Inc.: You must have been in the room when we were talking about this.
Praful Mehta - Citigroup Global Markets, Inc..: I guess, just a final question, I heard you mention a little bit of opportunity around the midstream side, and looking at some assets on that side or an opportunity on that side. Is that something you're looking at as a cash transaction? Is that how you're thinking of it? And if yes, what kind of holding company debt would you be looking to kind of take on as you look at some of these transactions?
Gale E. Klappa - WEC Energy Group, Inc.: Well, I think one of your colleagues brought that up as a potential example. Let me go back to our five-year capital plan. And when you look at the pie chart that breaks down our $11.8 billion of capital spend over the next five years, you will see a segment called energy infrastructure and that segment is designed for us to deploy capital into the types of things we're talking about opportunistically. So, whether that's a fully contracted midstream pipe or whether that's a fully contracted wind farm or whether that's an investment with a customer that we would invest in solar or a gas storage. So there's a whole range of energy infrastructure type projects that we are going to be analyzing and looking at, as part of that five-year capital plan. This is the first entry into that segment.
Scott J. Lauber - WEC Energy Group, Inc.: Right. So in addition, we're looking at our holding company debt and like Gale said over that five-year plan that holding company debt to total debt to be 30% or less. Now, if some great opportunities come earlier in the plan, that percentage may go up a little bit and then we'll work it back down like we have done in the past when there are opportunities exist. So we did Bluewater gas storage. Now we have this one. If there's other opportunities out there we can take advantage of and get a return without changing the profile, we'll be looking at that.
Gale E. Klappa - WEC Energy Group, Inc.: Right. But the general concept is, as Scott just said so well, holding company debt to total debt at about 30%.
Scott J. Lauber - WEC Energy Group, Inc.: Yeah.
Praful Mehta - Citigroup Global Markets, Inc..: Got you. Super helpful, guys. Thank you.
Gale E. Klappa - WEC Energy Group, Inc.: You're more than welcome. Great questions.
Operator: Your next question comes from the line of Paul Ridzon with KeyBanc.
Gale E. Klappa - WEC Energy Group, Inc.: Greetings, Paul. How are you today?
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Well, Gale. How are you?
Gale E. Klappa - WEC Energy Group, Inc.: We're fine. We're just fine.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: I think you probably just answered my question, but this Upstream is not an incremental capital, it was already baked into the forecast with a placeholder?
Gale E. Klappa - WEC Energy Group, Inc.: That is correct. Yes.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And then you alluded to the fact that you're kicking tires out there. How big could this get?
Gale E. Klappa - WEC Energy Group, Inc.: Well, again, we've nailed down a segment for the next five years and the total amount in that segment, Scott, is roughly...
Scott J. Lauber - WEC Energy Group, Inc.: It's approximately $1 billion over that five years.
Gale E. Klappa - WEC Energy Group, Inc.: Yeah. And I think there are opportunities that could certainly take us to that level over the five-year period. So, for the next five years, think about and maybe an incremental $700 million on top of where we are today.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And where is Upstream going to sit in the corporate structure?
Gale E. Klappa - WEC Energy Group, Inc.: It will be a separate sub...
Scott J. Lauber - WEC Energy Group, Inc.: It will be in that infrastructure segment...
Gale E. Klappa - WEC Energy Group, Inc.: Yeah.
Scott J. Lauber - WEC Energy Group, Inc.: ...where we have our We Power assets, our Bluewater Holding, and then this will also be in the infrastructure segment.
Gale E. Klappa - WEC Energy Group, Inc.: Right. So it'll be a separate sub in the infrastructure segment.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And then just to clarify, I think I heard you say no external equity but possibly tax equity?
Scott J. Lauber - WEC Energy Group, Inc.: No external equity. It'll all be funded internally. We do have the benefit of the production tax credits since we are a cash taxpayer starting at the end of 2018.
Gale E. Klappa - WEC Energy Group, Inc.: Yeah, so read our lips, no new equity issuance.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: But could you say you might be tax equity investors?
Scott J. Lauber - WEC Energy Group, Inc.: If that opportunity exists and we could get a reasonable return.
Gale E. Klappa - WEC Energy Group, Inc.: Yeah, we'd have to be both of those things, and overall not changing our risk profile. And if you'd like to go the Antelope County in Nebraska to see the Upstream under construction, we'd be happy to take you there.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: I think I'll pass on that one. All right. Go Cav (48:12).
Gale E. Klappa - WEC Energy Group, Inc.: Thank you, Paul.
Operator: Your next question comes from the line of Michael Lapides with Goldman Sachs.
Michael Lapides - Goldman Sachs & Co. LLC: Hi, Gale, hi, Scott.
Gale E. Klappa - WEC Energy Group, Inc.: How are you doing?
Scott J. Lauber - WEC Energy Group, Inc.: How are you, Michael?
Michael Lapides - Goldman Sachs & Co. LLC: I'm fine. I'll take you up on the Nebraska and buy you a tune of the seven states in the Union I've not been to.
Gale E. Klappa - WEC Energy Group, Inc.: All right, there you go.
Michael Lapides - Goldman Sachs & Co. LLC: But let's find a Saturday and college football.
Gale E. Klappa - WEC Energy Group, Inc.: That would be excellent.
Michael Lapides - Goldman Sachs & Co. LLC: One or two questions, I want to make sure I understood some of the Foxconn comments. Are you effectively raising your $11 plus billion CapEx guidance for the next few years based on some of the commentary about gas infrastructure needs and ATC related needs for Foxconn?
Gale E. Klappa - WEC Energy Group, Inc.: Not yet. I mean that may come depending upon the ancillary development, the additional development that we think will occur in that area, but at the moment, we're sticking with the $11.8 billion.
Michael Lapides - Goldman Sachs & Co. LLC: Got it. And just to make sure I understand the net cash impact of all of the different tax reform items that are kind of floating around. How should we think about what that does to just total cash flow over the next one or two years? How much does that bring cash flow down?
Gale E. Klappa - WEC Energy Group, Inc.: Yeah. So there's a couple items. One, the bill credits that we're giving on an annual basis is going to be approximately $50 million in 2018 and 2019. Now, the other cash flow item is with the change in tax reform, we were going to be a cash taxpayer in 2019 and that moved up to 2018. So that's probably another I would say, $80 million to $100 million additional cash flow drag on the system that we have factored in into our FFO to debt metrics.
Michael Lapides - Goldman Sachs & Co. LLC: Got it. So the total new impact for the Wisconsin kind of settlement that was discussed at the PSCW meeting last week, is really the electric bill credits, the $50 million.
Scott J. Lauber - WEC Energy Group, Inc.: Yeah. That's electric and gas bill credits, correct.
Gale E. Klappa - WEC Energy Group, Inc.: Yeah. That's together electric and gas.
Michael Lapides - Goldman Sachs & Co. LLC: Got it. One question on solar, want to make sure I understand what do you think kind of like the levelized cost of solar in Wisconsin likely is?
Gale E. Klappa - WEC Energy Group, Inc.: Well, we're seeing some pretty interesting numbers but under $1,300 on installed kW.
Michael Lapides - Goldman Sachs & Co. LLC: Okay. And capacity factors that gets you into – if it were a PPA or if it were a rate-based asset, are we talking about something in the 30s per megawatt hour or above or below that level?
Gale E. Klappa - WEC Energy Group, Inc.: Yeah. Ballpark $0.03, yeah.
Michael Lapides - Goldman Sachs & Co. LLC: Okay. Okay. Thank you, guys, much appreciate it.
Gale E. Klappa - WEC Energy Group, Inc.: You're more than welcome, Michael.
Operator: Your next question comes from the line of Caroline Bone with Deutsche Bank.
Gale E. Klappa - WEC Energy Group, Inc.: Greetings, Caroline.
Caroline V. Bone - Deutsche Bank Securities, Inc.: Good afternoon. So a lot of my questions have been answered, but I thought I'd just ask. You've obviously had a lot of success driving lower O&M since the Integrys deal and I know going forward, you expect to see a lot of savings from plant closures. But I was just wondering if you could talk a little bit more in detail about what's been driving the cost reductions, particularly in Q1?
Gale E. Klappa - WEC Energy Group, Inc.: Well, I wouldn't just be happy to chat about that, I wouldn't necessarily separate out Q1 from any of the other type of progress that we've made because Q1 was a continuation of really the efforts that we've had underway since the acquisition of Integrys. So let me start first by saying the Integrys acquisition has allowed us to really streamline operations across our seven operating utilities. We now have six of the seven companies on the same billing platform. I mean, just to give you an example of now that we have most of our companies on the same customer information and billing system, we can optimize our call centers. We can reduce costs and improve quality. And that's just one example of thousands of examples of what the broader footprint and platform that we have now that we're the eighth largest natural gas distributor in America and one of the 13 largest publicly traded utility systems in the country, with 4.5 million customers. I mean, we just have tremendous opportunities that continue to surface related to driving efficiency and cost savings across the system. So we are – I mean there isn't any question about it. We are exceeding our initial projections on cost savings and efficiencies from the Integrys acquisition. But it is not one single thing. I mean it is every area where we're seeing gains and where our managers are really doing a good job driving efficiency. It's every single group, it's every single department, it's every single area of the company, and I'm looking at our new Executive Vice President and General Counsel, our Legal – no, I'm kidding.
Scott J. Lauber - WEC Energy Group, Inc.: That will come too.
Caroline V. Bone - Deutsche Bank Securities, Inc.: All right. Thank you. I guess then my other question is just on you mentioned obviously the stories about customers asking for you guys to defer non-fuel savings related to Pleasant Prairie and I was just curious as to when you expect the PSC to actually rule on that?
Gale E. Klappa - WEC Energy Group, Inc.: Well, first of all, my understanding of this particular docket is that the Commission has 60 days from the receipt of the request to decide even whether to take up the issue. So we will make a response shortly to the request. But again, when you look at the request, it's really – I mean, we're being very consistent with the rate settlement and our promises in the rate settlement. I mean, we said, for example, multiple times during the process of the rate review last year that in order to maintain the financial integrity of the company and for these rates, we would have to cut about $115 million of costs out of the company. Well, the closure of Pleasant Prairie is just one of many initiatives. And I think that somehow as I mentioned, there may be some concern that oh, my goodness, we'll have some windfall but as you know, as part of the rate settlement, we're earnings capped so there will be no windfall here.
Caroline V. Bone - Deutsche Bank Securities, Inc.: Right, right. Okay, thanks. And then actually just one follow-up on the wind deal. So, you are guys are going to be buying an operating project once it's completed or actually involved in the building? Sorry to just clarify that.
Gale E. Klappa - WEC Energy Group, Inc.: No. Very good question. We will be buying 80% of an operating project once it starts operating.
Caroline V. Bone - Deutsche Bank Securities, Inc.: Okay. All right. Thanks very much.
Gale E. Klappa - WEC Energy Group, Inc.: You're more than welcome. Very good questions.
Operator: And your last question comes from the line of Dan Jenkins with State of Wisconsin Investment Board.
Gale E. Klappa - WEC Energy Group, Inc.: Dan, you still have a job, that's fantastic.
Dan Jenkins - State of Wisconsin Investment Board: Another week or two, I guess.
Gale E. Klappa - WEC Energy Group, Inc.: How are you, Dan? Long time, no talk too?
Dan Jenkins - State of Wisconsin Investment Board: Pretty good. How are you doing?
Gale E. Klappa - WEC Energy Group, Inc.: We're fine.
Dan Jenkins - State of Wisconsin Investment Board: So, Carol just stole some of my questions I was going to ask about the O&M, but earlier you mentioned the $100 million from shutting down Presque Isle and I guess, Pleasant Prairie I think.
Gale E. Klappa - WEC Energy Group, Inc.: Pulliam in Green Bay.
Dan Jenkins - State of Wisconsin Investment Board: Oh, Pulliam, okay. So is that a gross savings or is that because you're going to have some additional costs from the new gas plant and et cetera? So is that the gross savings or the net savings or how should we...
Gale E. Klappa - WEC Energy Group, Inc.: No, that would be simply just the O&M reduction from the closure of the plant. So in your terminology, would be gross savings.
Dan Jenkins - State of Wisconsin Investment Board: Okay.
Gale E. Klappa - WEC Energy Group, Inc.: And I think they're gross, but...
Dan Jenkins - State of Wisconsin Investment Board: Right, right, right. But that's not the bottom line impact you'll see from those closures because they're like for example in Michigan, you'll have the new plant operating costs, which would be lower probably than the coal cost, but still...
Gale E. Klappa - WEC Energy Group, Inc.: Yeah.
Scott J. Lauber - WEC Energy Group, Inc.: Yes.
Gale E. Klappa - WEC Energy Group, Inc.: Yes, substantially lower. Substantially lower, yes. But you're correct. Your analysis is correct.
Dan Jenkins - State of Wisconsin Investment Board: And when is the timing for both of those again the close?
Gale E. Klappa - WEC Energy Group, Inc.: The plan is to close Pulliam as soon as American Transmission Company completes the transmission upgrade in that area, which we're hoping will be in the fourth quarter of this year, but certainly by year end would be our plan. And then on Presque Isle, essentially the gating factor there is completion of the RICE units that we've talked about, these reciprocal internal combustion engines, and we would expect to be able to close Presque Isle by mid-to-late 2019.
Dan Jenkins - State of Wisconsin Investment Board: Okay. That's all I had. Thank you.
Gale E. Klappa - WEC Energy Group, Inc.: Do you want to go to Antelope County, Dan?
Dan Jenkins - State of Wisconsin Investment Board: Not in the winter, but maybe sometime I'll stop by.
Gale E. Klappa - WEC Energy Group, Inc.: That does sounds good, Dan. And let us know, so we don't scare you out there.
Dan Jenkins - State of Wisconsin Investment Board: Okay. Thank you.
Scott J. Lauber - WEC Energy Group, Inc.: Thank you, Dan.
Dan Jenkins - State of Wisconsin Investment Board: Bye.
Gale E. Klappa - WEC Energy Group, Inc.: Bye-bye.
Gale E. Klappa - WEC Energy Group, Inc.: All right. Well, I think that ladies and gentlemen wraps us up, concludes our conference call for today. Thank you again for participating. If you have any additional questions, feel free to contact Beth Straka and her direct line is 414-221-4639. Thanks, everybody. Bye-bye.